Robert Gentz: Good morning, everyone, and thank you for joining us.
David Schneider: Good morning from me as well.
Robert Gentz: David, and I will give you an update on last year, our strategy and our guidance for this year. And let me start off by saying how proud I am of our team and what we have achieved in 2022. This last year was an incredibly difficult year for all of us and the headwinds for online fashion in Europe were particularly strong. Now our team did very well. We acted decisively and had great success in tackling these headwinds. And financially, we have delivered on our updated guidance. So -- but most importantly, now looking into '23 and the challenges that this year might bring, we feel, as a team and as a business, very strong. Our company has matured through this experience of last year. And we are now very well prepared to always protect ourselves from downsides in the short term, while then investing through the cycle. We are fully committed to our long-term mission to be Europe's starting point for fashion for at least 10% of the fashion market. So during the lockdowns of the pandemic, fashion retail shifted online, and we harnessed that shift very well. And this slide impressively shows our progress since 2020. While in the last 3 years, the total fashion market remained pretty much flat, the online fashion segment grew strongly, and we significantly outgrew the rest of the online fashion segment and increased our relevance for our customers and for our partners. And in fact, our GMV increased by 80%. So now our market share has expanded to over 3% of the total fashion market. So we use these years to scale our business wisely. And this growth is the result of a lot of hard work. So always improving our customer experience and the partnerships with our brands. And I want to take this opportunity to thank all our employees for their hard work, collaboration focus and commitment. So the growth has also given us the kind of scale that will serve us well in the future. So zooming in on 2022. Last year was pretty turbulent and brought a unique mix of economic and market headwinds. But we took decisive steps as a team, and in the second half of the year, we returned to growth and delivered what we promised. At the beginning of the year, consumers started to return to bricks-and-mortar stores after the pandemic. And this was the moment when the industry would see how sticky the adoption of e-commerce will be. And as it turn out, the answer was not as sticky as everyone, including our self, expected. So on top of that, the sustained inflation negatively impacted the consumer sentiment across all retail. The global supply chain bottlenecks at the beginning of the year were then followed by elevated inventory levels across the European market. And in this challenging macro situation, we acted quickly and decisively. So trading was so volatile, but with our focus on execution, we are really well prepared to capture demand at September season start, in Cyber Week and at Christmas. So as a result, we delivered 6.2% GMV growth in the second half. At the same time, we introduced some measures to protect the profitability, such as minimum order value and reduced marketing spend. And these measures were very successful. If you look at the chart on the right, you can see how adjusted EBIT increased from just EUR 26 million in H1 to an adjusted EBIT of EUR 159 million in the second half of the year. So let me remind you of our key figures. Back in June, we updated you on where we thought we would land at the end of the year. And despite the fact that the environment became even more challenging, we still delivered at the bottom of the range of our revised guidance. Here, you see our figures. We achieved a GMV of EUR 14.8 billion, revenue of EUR 10.3 billion and an adjusted EBIT of EUR 185 million in the full year. Now I hand over to David, who will take you through the year in a bit more detail.
David Schneider: Let me start by making one thing very clear. Although a great deal has changed in the last year or 2, there's one thing that hasn't changed, and that's our core strategy. The fundamentals of our strategy are working, and we continue to deliver on them. So yes, let's dive into this. Most of you have seen this slide several times before, but let me recap for a second and remind you of our vision and our goal. We want to be the starting point for fashion. So what does that mean? For us, it means we want Zalando to be the destination where everyone gravitates to for all their fashion needs and wants. And that's why our 3 strategic dimensions remain unchanged. They are customers, partners and people and planet. And let me begin with customers. We want to create deep customer relationships at scale. We are really happy about the progress we've made last year. As a result, we celebrated an important milestone as we passed the mark of 50 million active customers. And the fact that so many customers have placed their trust in us is truly exciting for us. And our loyalty program, Plus, more than doubled its membership compared with a year ago to 2 million members. At the same time, we expanded our core offer and services geographically. We launched Fashion Store into Romania and Hungary and Lounge by Zalando, our offers channel, is now offered in Slovakia, Romania and Lithuania as well. We've also worked really hard to make it even more convenient for our customers. We raised the bar on convenience levels across payments, delivery and return processes. For example, we've made our buy now, pay later offering even better by adding more payment methods. Still on the subject of customers, this slide shows the really good progress we've made expanding our reach into the different markets. The chart shows the percentage of the population in the market that shop with us compared to 2020. As you can see, the penetration levels are very different. In the top 5 markets, we are already approaching 1/4 of the population. This includes some Nordic countries and the Benelux, where we already have like a really strong local position. This slide doesn't just illustrate the tremendous scale and reach we've already achieved in some markets, but it also shows the huge potential that is still lying ahead of us. And the remaining 12 markets where we've been active before 2020, we see penetration of only 10%. And over the past 2 years, we grew our active customers over proportionately in these markets. We added 7x more active customers than in the top 5 markets. Now let's turn to the second dimension of our strategy, our partners. Customers don't want to buy just from one brand. They shop across many different brands. And they want choice and they want inspiration. Our partner brands deliver a great deal of this. And this is why our brand partners are a core part of Zalando's story. So we are working hard to deepen relationships, partnerships in which both customers and brands benefit. Nike is a fantastic example that we've mentioned previously. Customers can now shop for Nike member exclusive products on our platform. By linking the Nike account to Zalando, customers in 10 countries can access a selection of products only available to Nike members. And this account linking, actually, it really works well. And I have to say it has exceeded our expectations. Sephora is another great example. Last year, we added more of their beauty brands on the platform and expanded into Italy. Then, maybe one final example is the integration of Beats and Apple products. Customers can shop for their entire fashion look and even complete that with matching tech accessories. Our growing brand portfolio is a great indicator of how relevant we are for brands and ultimately for customers. We're not just helping our partner brands to connect with their target audiences, at the same time, we're adding value by enabling their digital business with our capabilities like logistics or marketing. And all partners need these capabilities to be successful in the multi-brand environment to really reach their relevant audiences. Last year, we continued to solve 3 major challenges for them. First, we enable them to go online and direct-to-consumer in the multi-brand environment. And the partner business is now contributing 36% of the Fashion Store GMV, which is up 6 percentage points in the fourth quarter compared with a year ago. Second, partners can leverage our infrastructure to reach customers in all of our markets. Zalando Fulfillment Solutions help them to increase reach without having to invest in their own infrastructure. And in fact, ZFS shipped 58% of all partner items. And then thirdly, we enable partners to speak to their audience and leverage our data and reach to drive their sales. We also support them to position their brands. Revenue generated through Zalando Marketing Services was 2% of Fashion Store GMV in Q4. The third dimension of our strategy is people and planet. One focus in 2022 was to engage our partners to accelerate decarbonization. And we often talk about our own emissions on Scope 1 and 2, but we also know that most emissions actually lie in Scope 3, which is by far the biggest challenge. That's why it is also important that our partners set science-based targets. At the end of 2022, 58% of our partners, be it brand partners, partners in packaging or last-mile delivery have already set science-based targets. To enable that further, together with other e-com companies, we launched Fashion LEAP for Climate. It is a learning platform which provides step-by-step guidance on measuring emissions and setting climate targets aligned with science. One of our goals is to reduce the amount of single-use plastic packaging per item shipped. Last year, we reduced the amount by 38%. And finally, one of the biggest challenges in the fashion industry is circularity. We made progress by launching Circular Design Criteria. We also designed and produced 775,000 items according to this criteria. In the area of diversity and inclusion, we now offer over 300 styles in adaptive fashion. So that's clothing and footwear that cater to the needs of people living with permanent or temporary impairments. Beauty, we've increased our inclusive assortment by over 60% in the last 3 years. And that means we cater to a greater diversity of hair textures, skin shapes and skin types. We also broadened our assortment with products that serve or stem from underrepresented groups. By the end of 2022, we had onboarded 66 black-owned brands across beauty, jewelry and fashion, brands like Karl Kani, Lisou or Aaron Wallace. Overall, we have made progress on our people and planet journey, but more needs to be achieved by us and the industry. Now I hand it back to Robert. He'll explain how we're evolving our approach.
Robert Gentz: Yes, the achievements that David and I have mentioned prove that the fundamentals of our strategy are working. So we achieved an all-time high in active customers and deepened our relationships. We made further progress on our platform transition. And together with our partners, we pushed ahead on our sustainability goals. Our business is really in strong shape. And looking ahead, our vision and our mission for them is much bigger. That's why we continue to evolve our approach around the 3 dimensions of our strategy: customers, partners and people and planet. To recap, just selling products in separate categories like beauty or fashion isn't ideal. The consumers' needs around these categories of product are very different. That's why we commit in each of these areas to innovate and build distinct customer experiences. And this is what we call a proposition. For example, in Beauty, we want to give our customers a multisensory experience. In Designer, we increasingly engage customers through storytelling in a dedicated online environment. And fashion is still our core proposition. About 90% of our active customers buy fashion from us. Over the last few years, we increased our selection in fashion. And nowadays, our customers have several thousand brands and millions of products to choose from in our fashion proposition. And unrivaled choice is a great thing to offer, but relevancy and curation at scale is what we're really after. So content and storytelling is a main catalyst on that journey, and I'll come to that in a second. And outside of our core fashion experience, we've made good progress last year with our other propositions such as Beauty, Lounge or Pre-Owned. We see that our customers continue to adapt our other propositions and close to 20% shop more than one proposition, like fashion and Lounge or fashion and Beauty or Lounge and Pre-Owned. So this is exciting as the spend of these customers is much higher. In fact, it is more than 3x higher than the average. And this is what creating a deep customer relationship means. But ultimately, our goal is then to turn Zalando customers into Zalando members with our Zalando Plus program. And for an annual fee, you get the best out of Zalando, exclusive benefits across and within our propositions and even faster shipments. We now have more than 2 million paying Plus members. And while the first million took us 3 years, the second million took us only 1 year. As we outlined last year at length, having the vision to be the starting point of fashion means combining transaction, fun and inspirational experience by offering high-quality content. That's why we started bringing fashion stories to our own experiences with the launch of new fashion discovery. We want to give customers more reasons to open our Zalando app and come back frequently. This strengthens the emotional bond and thus deepens our customer relationships. And that's why the acquisition of Highsnobiety in summer last year is a resounding success. It is helping us to improve our storytelling, deepening engagement with customers and enabling us to partner up with brands. The cyber curated content drives the customer excitement and fashion inspiration that we've taken to the next level. We've done more than 80 curated fashion drops since the start of the collaboration. And these drops were viewed by over 7 million unique users. We've seen increased engagement of our customers with the inspiring content around these drops with much higher click rates. And we will take this new discovery experience to another notch this year. We will drive greater launch volumes and Highsnobiety enables us to launch exciting product drops much faster in order to be a first mover in the market. And a great example is Rihanna wearing a red sneaker at the Super Bowl. The red sneaker was quickly available on Zalando and immediately sold out. So Highsnobiety is also a great example of how we invest selectively through the cycle based on our fundamental belief and the significant future growth opportunities for Zalando. Let's now move to our partners. Next to content, we also want to take our unique and highly differentiated fulfillment capabilities to the next level. Over the last 14 years, we have built up a logistics infrastructure that serves more than 51 million active customers across 25 markets in Europe per year. Take, for example, our ability to pick items from storage, ship them to customers and reverse handling and return from customers. As basic as this may sound, it is a complex process, especially at scale and managed across Europe. And this process was initially managed from a customer convenience and a cost center point of view. Then we launched the highly successful Zalando Fulfillment Solutions, ZFS, to offer this process as a B2B service for our brands for the Zalando partner program. Last year, over 900 brands leveraged ZFS to ship over 120 million items. And even we were surprised by the rapid success of ZFS. This now accounts for close to 60% of the partner program volume. And since last year, we have taken ZFS one major step further. Our partners can now also leverage our logistics backbone beyond our partner program to drive e-com business outside of Zalando. And this is the idea of multichannel fulfillment we presented to you last year. In less than 1 year, we successfully launched a pilot phase, helping partners to sell outside of Zalando across 6 markets. We enabled our first partners to process more than 50,000 items. And we already signed 10 partners, among them Pepe Jeans. So our partner pipeline is well filled and growing. And by the end of '23, we plan to serve many more partners. In the medium term, we expect this recurring business to positively contribute to our group margin. Now let's talk about how we are using our increasing scale to change the fashion industry for the better. We want to have a positive impact on people and the planet. And we're making progress here together with our customers and partners. Let me give you one example. We're embedding our Circular Design Criteria into our private labels and encourage our brand partners to subscribe to these initiatives. One of the first partner collections applying this criteria came from the fashion designer, Nikolaj Storm. He launched the circular design capsule collection this February. We also want to improve textile-to-textile recycling, and we want to build a network of recycling providers and automate its orders. In addition, we're joining projects in hard to tackle areas such as footwear recycling. Our aim is to extend circular design from apparel to then as well footwear. And on the investment front, our last investment is building on the foundations we laid with IFC and Ambercycle last year. We recently invested in Circ, a U.S.-based company that has developed the technology to recycle cotton and polyester in a fully circular textile-to-textile process. Another topic that is close to our heart is that we want to integrate diversity and inclusion even deeper into our company's DNA. Over the next 9 months, we'll implement dedicated action plans in every Zalando business unit. Together with our brand partners, we will also continue to celebrate and cater through the diversity of our customers, for example, by expanding our assortment of adaptive, generalist and size inclusive fashion. So you can see how committed we are on our vision to being the starting point for fashion. But I hope you've also seen that we're evolving and adapting our strategy to achieve that vision. Now I'd like to move to our refined management Board setup. We have the right team in place to further deliver on our strategic ambitions. David Schneider and I, as co-founders, are leading the company as co-CEOs, with Sandra Dembeck as CFO, Astrid Arndt as Chief People Officer. I'm also delighted that David Schroder, recommitted as COO, working with us to drive innovation. I also would like to thank Jim, our Chief Business and Product Officer, who will, as planned, leave when his term expires on March 31. Jim is a great product leader, a strategic mind and trusted sparring partner. And he has been crucial in making Zalando even more customer-minded, execution-focused and innovation-driven, a task he took on over 5 years ago that he has accomplished very successfully. We are grateful for his contribution, and we wish him all the best for the future. As a team, we've also taken decisive action in simplifying the organization over the last year and setting us up for the future. And in this context, we recently started a program that will remove several hundred overhead roles across many of Zalando's teams. So this was a difficult decision for us as it means we will need to let go of some of our colleagues, each of whom has worked hard to make Zalando the successful company we are today. But we want to reduce complexities and embrace simplicity, pragmatism and frugality. And those principles will drive innovation and equip the company to invest into our strategic priorities and shape the future of European e-commerce. So now let's move to our outlook. In 2022, we continued to deliver on our strategic ambition. We also proved that we're able to act quickly and decisively in response to short-term challenges. Despite continued uncertainty in regard to the future macroeconomic environment, we are very confident that we're able to navigate these short-term headwinds by remaining focused on operating efficiency and margin improvement, while at the same time, setting us on for long-term success. We also continue to simplify our organization for innovation and speed and invest in strategic priorities as well as future growth opportunities. We expect for 2023 GMV to grow in the range of 1% to 7%. While consumer demand is hard to predict in the current environment, our clear ambition remains to continue to outperform the online fashion segment in terms of growth. And in line with our platform transition and decreasing share of our partner business, revenue growth will trail GMV growth. That being said, revenue growth is expected to be in the range of minus 1% to plus 4%. Profitability in terms of adjusted EBIT is expected to increase to EUR 280 million to EUR 350 million as we continue to drive efficiencies across the business. So our view on the overall tremendous market opportunity has not changed. We still see massive potential for Zalando in the EUR 450 billion European fashion market. And in the midterm, we have the clear ambition to return to double-digit growth rates for GMV as we build on our strategy to be the starting point for fashion. And at the same time, we reconfirm our adjusted EBIT margin corridor of 3% to 6%, with the goal to approach the high end by 2025. We're very confident that we can capture more than 10% of the total European fashion market long term by further executing on our vision and strategy. To get there, we will pass GMV of EUR 30 billion. We also reconfirm our ambition to achieve a double-digit adjusted EBIT margin in the long term. So summing up now and coming to the key takeaways of our note. Number one, we outgrew the European fashion segment. Number two, we worked hard and used the chance to scale our business across Europe. Number three, we delivered on our updated guidance. And number four, we will remain laser-focused on driving profitable growth in '23. And number five, we're investing selectively to capture future growth and continue to pursue our long-term opportunities. Thank you from both David and I for watching.
David Schneider: Thank you.